Operator: Good afternoon. My name is Jamie, and I'll be your conference operator today. I'd like to welcome everyone to the SS&C Technologies Second Quarter 2014 Conference Call. [Operator Instructions] Please note that this conference is being recorded and will be made available on SS&C's website, www.ssctech.com. I'd now like to turn the call over to Justine Stone, Investor Relations Coordinator. Ms. Stone, you may begin your conference.
Justine Stone: Hi, everybody. Welcome and thank you for joining us for our Q2 2014 earnings call. I'm Justine Stone, the Investor Relations Coordinator for SS&C. With me today is Bill Stone, Chairman and Chief Executive Officer; Norm Boulanger, President and Chief Operating Officer; Rahul Kanwar, Senior Vice President and Managing Director of Alternative Assets; and Patrick Pedonti, Chief Financial Officer. Before we get started, we need to review the Safe Harbor statement. Please note that various remarks we make today about future expectations, plans and prospects, including the financial outlook we provide, constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements. As a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today, July 31, 2014. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. During today's call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today's earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. I will now turn the call over to Bill.
William C. Stone: Thanks, Justine. I'll start with a brief overview of the quarter and then turn it over to Norm, who'll take you through some operational highlights; and then Rahul, who will take us through our alternatives business; and Patrick will run through some details on the numbers. First, I'd like to thank everybody who attended our analyst day in June, whether you were in person or on the webcast. We appreciate the opportunity to share with you our outlook for the company and the industry at large. And we particularly were thankful for the great response we had. Now the Q2 performance. We delivered revenue of $188.7 million in the second quarter of 2014, up from $177.5 million in the same period of 2013. And our adjusted diluted EPS was $0.57 per share, an increase of 18.8%. Our sales pipeline continues to grow and we are gaining some traction. The deal sizes are also growing, and we believe we are very well positioned. M&A activity is also robust and we continue to methodically go through our opportunities. As we stated in our recent analyst day, we continue to execute on our strategy through selling into our core markets with world-class technology using the cloud and our overall expertise. And with that, I'll turn it over to Norm.
Normand A. Boulanger: Thanks, Bill. We saw solid performance in the business in Q2. Regarding the state of the business, we are capitalizing on demand across our software and services and continue to invest in sales and service expertise to support our opportunity. The first half of the year, we signed a number of large complex customers. Organizations such as Ares Management, Virtus Investment Partners and REIT customers required deep expertise to sell and support. We're well positioned to deliver quality technology, services and expertise to support their complex requirements. At the same time, we are leveraging these wins to create new opportunities. In Q2, we realigned our institutional asset management and SS&C PORTIA divisions into one single organization led by Christy Bremner and Tim Reilly. We believe the new organization will perform at a high level, servicing our customers from both licensed and outsourcing perspectives. In Q2, we hosted our annual Investment Intelligence Summit. One of the most notable things about the event was the sheer amount of solutions we showcased. This was the reflection of the investment we have made across our business for our customers. As announced in the summit, we launched new investment intelligence capabilities that transform how our customers can access their data through the cloud. In Q2, we signed a number of deals across the business. One of the world's leading banks selected our managed service for performance attribution and client reporting for approximately 900 institutional clients. A U.K.-based $4 billion wealth manager selected Global Wealth Platform, supports 1,000 high-network customers. Two existing customers expand the use of SS&C PORTIA. A privately owned Canadian investment firm selected our client reporting solution, with licensed use of our BenefitsXML technology and IP rights to acquire a licensing of our BenefitsXML product. A large firm -- law firm with wealth management services selected our performance and client reporting solution. A mortgage REIT selected our reconciliation solution, and a wealth management firm selected global platform for its full front-to-back office requirements. Now I'll turn it over to Rahul to go through the Alternative Asset management business.
Rahul Kanwar: Thanks, Norm. As reflected in this quarter's result, we continue to see strong demand for our product and services. Revenue for Alternative Assets grew 7.5% over Q2 in 2013, and the pipeline of opportunities remains robust. Several of which we converted into customers during the quarter. We continue to see demand from investment managers that trade across complex asset classes and requires scale and risk mitigation in their internal operations. Some focused areas include front office support and middle office functions. Offering solutions in these areas combined with fund administration and our cloud-based technology enables us to win several deals this quarter. And one example, a $4 billion-private equity and hedge fund manager expanded our current relationship to include middle office and private equity servicing. Many of the prospects we are currently speaking to are interested in similar service offerings. Over the past several quarters, we have been enhancing our services for alternative investors like consulting organizations, state pension plans, sovereign funds, endowment and other large investors. Our demonstrated expertise helps these organizations execute investment decisions, manage relationships, monitor the underlying investing funds, investment funds and the funds performance in analytics, including looking through to exposures and risk parameters, all exposed via the web or on mobile devices. We won a well-recognized name in the asset allocation business in Q2 and view this as a growth area for the future. Regulation continues to drive the sale of new services, as well as create an entry point in organizations that are already customers. For example, we signed several customers to our FATCA, Annex IV and depository light offerings and continue to work on additional regulatory products we can offer. I will now turn it over to Patrick.
Patrick J. Pedonti: Thanks, Rahul. We reported, for the quarter, revenue of $188.7 million. GAAP net income was $27.2 million and GAAP diluted EPS was $0.31. Revenue increased $11.3 million or 6.3% over Q2 2013. Strong license revenue and year-over-year 5.4% growth in our software-enabled services business drove the growth in the quarter. Foreign exchange had a negative impact on revenue of about $100,000 in the quarter. Adjusted operating income for the second quarter was $74 million, an increase of $5.2 million or 7.6% from the second quarter of 2013. Operating margins increased to 39.2% from 38.7% in Q2 2013. We continue to make significant progress on implementing the GlobeOp and PORTIA acquisition cost synergies and currently expect to generate approximately $23 million in savings for the full year of 2014. In addition, operating margins significantly improved in our fund administration business in the quarter. Adjusted consolidated EBITDA was $77.7 million or 41.2% of revenue. This is an improvement of 7.1% compared to Q2 2013. Net interest expense for the quarter was $6.6 million and includes $1.4 million of noncash, amortized financing costs and OID. Interest expense decreased due to the $244 million of debt paydown we've made since the second quarter of 2013 and the 2013 credit facility repricing that reduced our weighted average interest costs from 4.2% in the second quarter of '13 to 3% in this quarter. We reported a GAAP tax provision in the quarter of $11.5 million or 30% of pretax. In the quarter -- in the first quarter, we recorded a noncash charge of $2.5 million to adjust our deferred tax liabilities for tax changes that were enacted in New York State. Excluding this one-time item, our year-to-date tax rate was 28%. Adjusted net income was $49.6 million and adjusted diluted EPS was $0.57. The adjusted net income excludes $21.3 million of amortization of intangible assets, $2.8 million of stock-based compensation, $1.4 million of noncash debt issuance costs and $4.6 million of unusual expenses, including $2.4 million related to legal expenses for an IP infringement lawsuit we settled in the second quarter and $1.9 million for 2 facilities' consolidations. The effective tax rate we used for adjusted income was the same, 28%. For the balance sheet and cash flow for the quarter as of June, we ended with $73.8 million -- $73.5 million of cash and $675 million of gross debt for a net debt position of $601.5 million. We had very strong operating cash flow in the first 6 months. Operating cash flow was $92.8 million, a $22.8 million increase or 33% over the first -- over the same 6-month period in 2013. Cash flow was driven by improved earnings, improved working capital management and lower accounts receivable DSOs. For the 6 months, we paid out $107 million of debt. That brings the total to $482 million of debt paydown since the GlobeOp acquisition in June 2012. We purchased 186,000 shares of SS&C stock for a total of $7.4 million for the 6-month period. And we used $11.2 million for capital expenditures; and capitalized software, 3% of revenue. We paid $15.3 million of cash taxes compared to $15 million in 2013. The accounts receivable DSO as of June was 43 days compared to 45 days in December 2013. In financing activities, we recorded the proceeds from option exercise of $12.3 million and a tax benefit related to those option exercise of $8.2 million. Consolidated EBITDA -- LTM consolidated EBITDA was $304.7 million as of June. And based on our net debt position, our leverage ratio was 1.97x. For outlook for Q3 and the year. For Q3, our current expectation is revenue in the range of $190 million to $194 million. Adjusted net income of $50.5 million to $52.2 million and diluted shares in the range of 87.4 million to 87.7 million. For the full year, our current expectation is revenue in the range of $757 million to $770 million, which represents some growth of 6.2% to 8% over 2013. Adjusted net income in the range of $198.5 million to $206 million. And diluted shares increasing approximately 2.4% compared to 2013 to a range of 87.5 million to 87.8 million. And we expect the effective tax rate to continue for the full year to be 28%. And for the full year, we expect cash from operating activities to be in the range of $225 million to $235 million and capital expenditures to the range of 2.3% to 2.8% of revenues. We'll use all excess cash flow this year to fund potential acquisition, buyback shares in the open market and pay back -- and pay down debt. And I'll turn it over to Bill for final comments.
William C. Stone: Thanks, Patrick. We had a good first half and we have momentum going into the second half of the year. We expect acceleration in our business and we are confident in our strategies, our people, our products and our processes. As Patrick said, for the full year, we expect revenue between $757 million and $770 million. And I'll now open it up for questions.
Operator: [Operator Instructions] The first question comes from Ashish Sabadra from Deutsche Bank.
Ashish Sabadra - Deutsche Bank AG, Research Division: License revenues are pretty strong in the quarter. I was wondering if you could provide some color around the demand environment there. What's driving the demand for licensed software?
William C. Stone: Yes, I'll take that first and maybe Norm can comment. We have spent a lot of time building out our sales force and we had a good license quarter. We have one particularly large license that came in, in the quarter, and that helped buoy those results. We do have a strong pipeline on licenses and we're looking forward to a strong Q3 in licenses as well. Norm?
Normand A. Boulanger: Yes. So I guess, there's a couple of things from my perspective is we have been working very hard to improve our license sales, and we do it across the business and some of the new organizations like the PORTIA organization. It kind of broadened our opportunity. So what we are seeing is, on a given quarter, I think we have a bigger opportunity to close a good license. We have a good license quarter. But in license business comes on execution and execution on time. So I feel really good that, over the next couple of quarters, that if we execute well, we could have some good license contributions.
Ashish Sabadra - Deutsche Bank AG, Research Division: That's great. Just a follow-up question on the same -- on the sales force ramping up. I believe you had planned to ramp up your sales force from 110 to 150 by the end of the year. I'm just wondering if you could provide some color on how that's going and then comment on the sales productivity as well.
William C. Stone: Yes, I think that we continue to interview sales candidates around the country and around the world and we're continuing to hire. I do think it is aspirational to get to 150 by the end of the year. So I would not be surprised if we come in at 130 or 135. That doesn't mean that we wouldn't go to 150 if we could find the candidates. But it is something we're being very selective. We really have a very robust pipeline. And bringing that pipeline home, it takes a lot of effort. And sometimes that effort conflicts with all the interviewing and hiring of additional sales people.
Ashish Sabadra - Deutsche Bank AG, Research Division: Yes -- no, that makes sense. That makes sense. Just quickly on the software-enabled services. We usually see a sequential improvement from 1Q to 2Q, relatively flat this time, the growth was slightly slower. But I was just wondering if there's anything, any particular color out there and how should we think about the growth for software-enabled services through the rest of the year?
Normand A. Boulanger: Bill, I could take that one.
William C. Stone: Yes, go ahead.
Normand A. Boulanger: I mean, there are 2 things, I think, that is worth mentioning is, one, there's always been seasonality in the first couple of quarters for tax and regulatory services. And as that business has grown, it shifted a little bit into Q1 versus Q2. And the other thing is we are signing a large -- lots of large outsourcing opportunities that the timing of that revenue has impacted us a little bit. So from my perspective, those are the 2 primary factors in the sequential -- lack of sequential growth. And going forward, I think you'll see a bounce back.
Ashish Sabadra - Deutsche Bank AG, Research Division: That's great. That's good to hear. One quickly on the acquisition pipeline. I was wondering if as you'd continue to look at your M&A pipeline, there's anything that you can comment on the pipeline itself or asset valuations.
William C. Stone: Yes. I think, as you guys can probably tell in the call, we're pretty proud that our leverage ratio was at 1.97. What that does, it gives us a lot of flexibility. And we're constantly in search mode for the right kinds of acquisitions and we think that there's opportunities out there. And hopefully, we'll be able to get some execution. So we think it's robust asset valuations are high because interest rates are low. But as I talk with some of the investors, it is a little bit of a springtime for acquisitions in 2014, 2013 would -- I think, our overall interest rate's 3%. So if we can be disciplined and buy good properties that fit in with our strategy, acquisitions are a very attractive thing for us.
Operator: The next question comes from Sterling Auty from JPMorgan.
Darren R. Jue - JP Morgan Chase & Co, Research Division: It's Darren Jue from JPMorgan on for Sterling. I'm just wondering given that the high end of this full year guide for revenue is coming down slightly. And given that you've mentioned the pipeline is pretty healthy, I'm just wondering if there is any impact that you're seeing from a higher churn rate or what the reason would be for the high end of the range coming down a little bit?
Normand A. Boulanger: Yes. As we have gone from being a 40%, 50% licensed business on a quarterly basis to being, I think, we did almost $10 million out of $188 million. So about 5% on the license business. What we are is a recurring revenue business. So if we sign a $4 million deal in recurring revenue in September, we're really -- if we can get them to start in October, we get 3 months’ worth of revenue. And there's a good chance what we signed them in September, we get them to start in November. So we get 2 months’ worth of revenue. So 2 12, so $4 million is 1 6 to $4 million, means that we get $800,000 or something in. No, not quite, maybe $700,000 that we get in, in the year. So there's just a little bit of a lag factor, with these great big deals getting them closed and then also getting the date for them to get started, so that the revenue engine starts to kick in. So that's why you see the top end being clipped a little bit.
Darren R. Jue - JP Morgan Chase & Co, Research Division: Okay, understood. And then just one other one. I think in the past you've talked about -- or you were expecting a couple of large accounts to ramp in the second quarter. I'm just wondering if that happened. I know you mentioned a number of large signings and a couple of deals that got expanded. I wasn't sure if those pertain to the couple of large deals that we are thinking of.
William C. Stone: Yes. I mean, one of them is Virtus, which we announced last quarter, and that's in process that we're converting in. And another one that we have is a very large REIT that we're also in process of implementing. And again, we have it. I said we have a very full pipeline, these are large, sophisticated organizations with very bright people and they are the best in the world at what they do, which means they also can afford anything that they want. So when we win, we have to execute and there's a big competition to win that business. And so we're excited about where we stand and we think that the revenue will accelerate from here. But could I tell you it's going to be in Q3 or it's going to be in Q4? I'm not that crystal ball-ish. But I'm pretty confident that revenues going to accelerate, and it's not going to be years.
Operator: [Operator Instructions] The next question comes from Elizabeth Colley from Needham.
Elizabeth Colley - Needham & Company, LLC, Research Division: Can you give us any additional color on increased regulation and compliance driving new business? And I'm also curious if you guys are seeing the impact more with new customers or with the expansion of existing customers?
Rahul Kanwar: So it's Rahul, I'll take that. I think we see regulation doing a couple of things. One, it helps us provide more value to current customers. So there is expansion in current customers, and you can see that whether -- you'd see it with PF, Form PF 2 years ago, or with FATCA that everybody's trying to comply with right about now and some of the things are happening in Europe with AIFMD. So that's one opportunity. The other opportunity is it is an entry point for us, that I said in my remarks, into new organizations. Because even if they are using somebody else or some of our core services, they generally have a need related to these regulatory offerings. And to our knowledge, there's not that many administrators that have built cloud-based platforms and a team of experts that can provide these services. And a lot of times when we're in those organizations, we can expand and branch off into other areas. So both of those are positive drivers for us.
William C. Stone: And recently we just -- in Q3, we picked up a client in Europe that's using our AIFMD Annex IV processing, and it's over $0.5 trillion in asset manager. So it's an entry point and we think it gives us a lot of opportunity to burrow deeper into those large organizations.
Elizabeth Colley - Needham & Company, LLC, Research Division: Okay. And I had just one additional question. It's-- can you guys give any like updates on margin trends for the rest of the year? And also just remind us the levers to get us to the high end of the margin or the long-term range you guys gave for EBITDA, 40% to 42%.
Patrick J. Pedonti: This is Patrick. If you look at the -- and I'll just talk about operating income margins first. So if you look at the range that we provided for the year of $757 million to $770 million, I think, initially during the year, we thought our margins will be up about 50 bps compared to 2013. Now we think in that range, they'll be up anywhere between 40 and 100 bps on that range of revenue, and we'll see similar expansion in the EBITDA margin over 2013. And really, at this point, the focus is continue to implement the synergies with the GlobeOp and PORTIA acquisitions we did in 2012, continue to improve productivity in our software-enabled services business and then take advantage of low-cost areas like India and then our Indiana operation. And I think one other thing. As you saw in the quarter, we did take a charge for some facilities consolidation, and we're continuing to look at that to reduce our long-term facilities costs.
Operator: [Operator Instructions] The next question comes from Peter Heckmann from Avondale.
Peter J. Heckmann - Avondale Partners, LLC, Research Division: Patrick, I wanted to ask a question as regards exposure to trading volumes. I know this is not a big item, maybe 4% or 5% of total revenue, but I wanted to see if the decline in equity trading volumes in May and June and the fines that we've seen on the fixed income side are contributing any noticeable drag to revenue growth within software-enabled services.
Patrick J. Pedonti: I mean, I'm just looking quickly at those product lines. And I don't think -- I know we didn't see them going up, but they're pretty flat year-to-year.
Peter J. Heckmann - Avondale Partners, LLC, Research Division: Okay, okay. And then I would have expected a little bit more benefit on the currency line. Is there something I'm not totally taking into account? I mean, given some strength of the pound, is there maybe some...
Patrick J. Pedonti: I think we're hurting. Well, I say, what's hurting us is the Canadian dollar. We've got more exposure in the Canadian dollar on the revenue side than we do in the British pound.
Operator: At this time, I'm showing no further questions. I would now like to turn the call back over to Bill for closing remarks.
William C. Stone: Again, thanks, everybody, for dialing in. We appreciate during your summer season that you're able to take an hour out to be with us. And we look forward to talking with you at the end of next quarter. Thanks.
Operator: Ladies and gentlemen, that does conclude the conference for today. Again, thank you for your participation. You may all disconnect. Have a good day.